Operator: Greetings. Welcome to the China Automotive Systems Fourth Quarter and Fiscal Year 2023 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Kevin Theiss. You may begin.
Kevin Theiss: Thank you, everyone for joining us today. Welcome to China Automotive Systems 2023 fourth quarter and year conference call. Joining us today are Mr. Jie Li, Chief Financial Officer of China Automotive Systems. He will be available to answer questions later in the conference call with the assistance of translation. Before we begin, I will remind all listeners that throughout this call, we may make statements that may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements represent the company's estimates and assumptions only as of the date of this call. As a result, the company's actual results could differ materially from those contained in these forward-looking statements, due to a number of factors, including those described under the heading Risk Factors and Results of Operations in the company's Form 10-K Annual Report for the year-ended December 31, 2023, as filed with the Securities and Exchange Commission. And in other documents filed by the company from time-to-time with the Securities and Exchange Commission. Any of these factors and other factors beyond our control could have an adverse impact on the overall business environment, cause uncertainties in the region where we conduct business, cause our business to suffer in ways that we cannot predict, and materially and adversely impact our business, financial condition and results of operations. A prolonged disruption or any unforeseen delay in our operations of the manufacturing delivery and assembly processes within any of our production facilities could result in delays in the shipment of products to our customers, increased cost and reduced revenue. The company expressly disclaims any duty to provide updates to any forward-looking statements made in this call whether as a result of new information, future events or otherwise. On this call, I'll provide a brief overview and summary of the fourth quarter and year results for the period ended December 31, 2023. Management will then conduct a question-and-answer session. The 2023 fourth quarter results are unaudited. The year results are audited. Financial results are reported in U.S. GAAP accounting. For the purposes of our call today, I'll review the financial results in U.S. dollars. We'll begin with a review of some of the company's highlights, recent dynamics of the Chinese economy and automobile industry, and our market position. We are pleased to report that 2023 achieved record net sales of $576.4 million. Our gross margin rose to 18%. Operating income was 390% higher and diluted net income per share increased by 81.2% to $1.25 per share. We ended the 2023 year on a high note with the fourth quarter results achieving the largest quarterly net sales of 2023 at a $159.2 million, the largest quarterly percentage sales gain at 23.6% year-over-year for 2023, and highest quarterly net income attributable to the parent company's common shareholders at $10 million -- I'm sorry, $10.9 million during the year. We accomplished these in an unsettled economy in China. The Chinese GDP growth rate, excuse me, accelerated to approximately 5.2% in the 2020 -- in 2023, up to 3% growth in 2022, which period partially affected the lingering effects of post-COVID-19 recovery. According to statistics from the Chinese Association of Automobile Manufacturers, CAAM, passenger automobile unit sales in China for the fourth quarter of 2023 included a growth of 11.4% year-over-year in October, an increase of 25.3% year-over-year in November, and a rise of 23.3% year-over-year in December. Commercial vehicle unit sales during the fourth quarter of 2023 reflected an increase of 33.4% in October, filed by 44.6% year-over-year rise in November and a 25.1% year-over-year increase in December. Our 2023 fourth quarter operating income from operations climbed to $13.6 million due to gross margin rising to 21.8% as the product mix changed and operating expenses declined by 12.4% year-over-year. Our increasing efficiency led to reduced selling, G&A and R&D expenses in the fourth quarter of 2023. Diluted income per share rose by 157.1% to $0.36 compared to 14% -- sorry, $0.14 in the fourth quarter of 2022. For 2023, CAAM reported passenger vehicle sales rose by 10.6% year-over-year and commercial vehicle sales increased by 22.1% year-over-year. Our 2023 net sales increased by 8.8% in 2023 due to greater demand for Chinese passenger vehicles and a 22.9% year-over-year growth in net sales in Brazil with higher sales to Stellantis. Sales in the North America declined by 18.5% year-over-year to $115.9 million in 2023, partially reflecting the impact of the autoworker's strike in North America as production began to ramp up in the fourth quarter of 2023. Net sales of traditional steering products and parts were $381.6 million, up 2.2% year-over-year. Net sales of electric power steering, EPS grew by 24.6% year-over-year to $194.8 million, an increase as a percentage of sales to 33.8% in 2023. Net product sales of other entities rose by 20.7% year-over-year to $112.1 million, primarily due to higher sales by Wuhu Henglong (ph) our producer of steering columns. Our sales into the commercial vehicle market were essentially flat in 2023, partially due to reduced demand in certain market segments. As a percentage of total sales, domestic Chinese sales increased to 65.1% of our total sales in 2023. Sales in the United States declined to 19.3% and other export markets increased to 15.6% of our total sales. Domestically, key customers included BYD, the largest EV producer in China, Dongfeng Auto Group, Beiqi Foton Motor Corp., and we are developing C-EPS, DP-EPS and R-EPS products for BYD in addition to supplying traditional steering products. We are also working on new products for other current customers with the potential -- with potential new customers, including other automobile OEMs and emerging technology companies entering the NEV space. The high performance and quality of our products has spurred our growth in markets beyond China. In North America, customers include Jeep, Ram and Ford, in South America, Stellantis and Chery Auto's Brazilian operations are our primary customers. Mahindra & Mahindra is a large customer in the Indian automobile market. Our products are also beginning to penetrate the European market with companies such as Alfa Romeo, Scania AB and through our subsidiary, Sentient AB, a Swedish automotive technology company. For 2023, we reduced our R&D by 19.1%, primarily due to maturing of current new product development and less activity for additional new product development for the traditional products. Our product portfolio includes integral rack and premium steering, high-pressure power steering, electric power steering, advanced driver assist systems, ADAS, automotive electronics, intelligent automotive technologies, automotive motors and electromechanical integrated systems, vehicle software and motion controls, high polymer materials as well as developing new cost saving manufacturing processes. We collaborate with our OEM customers to advance our technology base and develop products to meet their specific performance and quality requirements. Our expanded series of EPS products have gained greater market reception. Our change in sales mix has improved our margins. We look forward to our ADAS products gaining greater commercial acceptance in the future. There are several trends that act as growth catalysts for our future sales. First, the Chinese automobile market is already the world's largest single market and Chinese branded vehicles are gaining market share from Western-based JVs in the domestic market. Second, China is also the world's leading EV market with 37.9% unit growth in 2023, in China, including 24.3% unit growth in battery-powered electric passenger vehicles. It's important to note that most Chinese EV operators have been self-developed without prior participation. In China, there are standalone EV producers, traditional OEMs with both internal combustion engines and EVs and high-tech companies that have entered into the EV marketplace. These tech companies are differentiating themselves by adding more technology and features, including advanced steering such as our ADAS systems. However, to capture more market share, Chinese OEMs are building lower-priced EVs to attract more buyers with a wider price range EV producers are better able to compete with internal combustion engine vehicles on a price basis. Chinese EVs are beginning to benefit from a growing economy of scale and strengthening EV supply chains, thus providing an advantage in global markets. In 2023, the CAAM statistics show the Chinese automobile unit exports jumped by 57.8% year-over-year, and recently Chinese auto exports surpassed Japan to become the global automobile export leader. Chinese exports were mostly internal combustion engine vehicles in 2023, but China has also become the largest exporter of EVs as well. Now EV exports are smaller in number, the emergence of more affordable EV models, well-enhanced Chinese EV export unit sales, especially in more advanced car markets, which are preparing to transition away from internal combustion engines. Increased competition among Chinese vehicle OEMs, greater access to overseas markets and more vehicle models creates greater growth opportunity as we are a leading developer and producer of steering systems to Chinese branded vehicles. Let me review the financial results in the fourth quarter of 2023. In the fourth quarter of 2023, net sales increased by 23.6% to $159.2 million compared to $128.8 million same quarter of 2022. The net sales increase was mainly due to a change in the product mix and higher demand for passenger automobiles and commercial vehicles in the fourth quarter of 2023 compared to the fourth quarter 2022. Gross profit increased by 38.8% to $34.7 million in the fourth quarter of 2023 compared to $25 million in the fourth quarter of 2022. Gross margin in the fourth quarter 2022 was 21.8% compared to 19.4% in the fourth quarter of 2022, primarily due to a change in product mix. Selling expenses were $4.6 million in the fourth quarter 2023, which is stable comparing with $4.6 million in the fourth quarter of 2022. Selling expenses represented 2.9% of net sales in the fourth quarter of 2023 compared to 3.6% in the fourth quarter of 2022. General and administrative expenses, G&A were $9.4 million in the fourth quarter of 2023 compared to $10.8 million in the same period in 2022. G&A expenses represented 5.9% of net sales in the fourth quarter of 2023 compared to 8.4% of net sales in the fourth quarter of 2022. Research and development expenses, R&D, were $9.3 million in the fourth quarter of 2023 compared to $10.6 million in the fourth quarter of 2022. R&D expenses represented 5.8% of net sales in the fourth quarter of 2023 compared to 8.2% in the fourth quarter 2022, mainly due to a decrease in new product development expenses for the traditional products. Operating income was $13.6 million in the fourth quarter of 2023 compared to a loss from operations of $2.6 million in the fourth quarter of 2022. Higher operating income was primarily due to increased gross profit and lower operating expenses in 2023 in the fourth quarter compared with the same period last year. Interest expense was $0.3 million in both the fourth quarter of 2023 and 2022. Financial income was $1 million in the fourth quarter of 2023 compared to $1.4 million in the fourth quarter of 2022 due to lower foreign exchange gains. Income before income tax expenses and equity in earnings of affiliated companies was $15 million in the fourth quarter of 2023 compared to a loss of $2.7 million in the fourth quarter of 2022. Income tax expense was $2.1 million in the fourth quarter of 2023 compared to an income benefit of $1.9 million in the fourth quarter of 2022. Net income attributable to the parent company's common shareholders rose by 153.5% to $10.9 million in the fourth quarter 2023 compared to net income attributable to parent company's common shareholders of $4.3 million in the fourth quarter of 2022. Diluted income per share was $0.36 in the fourth quarter of 2023 compared to $0.14 in the fourth quarter of 2022. The weighted average number of diluted common shares outstanding was 30,189,421 fourth quarter of 2023 compared with 30,229,987 in the fourth quarter of 2022. Now we'll review the highlights for the 2023 year. Net sales increased by 8.8% to $576.4 million in 2023 compared to $529.6 million in 2022, this increase was mainly due to higher sales of passenger vehicles in China as total sales of the company's EPS systems increased by 24.6% year-over-year. And sales of the company's Henglong subsidiary's vehicle steering systems to the Chinese vehicle passenger market increased by 10.1% year-over-year. Brazil Henglong's net sales grew by 22.9% year-over-year to $48.3 million in 2023. This growth partially offset an 8.5% year-over-year sales reduction by North American customers in 2023. EPS sales represented 33.8% of total revenue in 2023 compared to 29.5% in 2022. Gross profit in 2023 increased by 24.5% year-over-year to $103.8 million compared to $83.4 million in 2022. Gross margin increased to 18% from 15.7% in 2022, mainly due to a change in our product mix for the year ended December 31, 2023. Net gain on other sales in 2023 increased to $5.8 million compared to $3.7 million in 2022, mainly due to an increased R&D revenue. Selling expenses declined by 7.7% year-over-year to $15.6 million in 2023 compared to $16.9 million in 2022, mainly due to a decrease in transportation expenses. Selling expenses represented 2.7% of net sales in 2023 compared to 3.2% in 2022. G&A expenses decreased by 2.3% year-over-year to $25.5 million in 2023 compared to $26.1 million in 2022. G&A expenses represented 4.4% of net sales in 2023 compared to 4.9% of net sales in 2022. This decrease was mainly due to the decrease of allowances for credit losses. R&D expenses declined by 19.1% to $29.2 million in 2023 compared to $36.1 million in 2022. The decrease was primarily due to the decreased R&D activities for new projects for traditional products. R&D expenses were 5.1% of net sales in 2023 compared to 6.8% of net sales in 2022. Operating income increased by 390% to $39.2 million in 2023 compared to $8 million in 2022. The increase in operating income was mainly due to a 24.5% increase in gross profits, combined with an 11.1% decrease in operating expenses. Interest expense was $1 million in 2023 compared to $1.5 million in 2022, primarily due to a decrease in borrowing rates. Net financial income was $4.7 million in 2023 compared to net financial income of $10.8 million in 2022, primarily due to a decrease in the foreign exchange gains contributed by the foreign exchange volatility in 2023. Income before income tax expenses and equity in the earnings of affiliated companies rose by 109.6% to $48.2 million compared to $23 million in 2022. The change is primarily due to higher operating income in 2023. Income tax expense was $5.1 million in 2023 as compared to $3.1 million for the year ended December 31, 2022, representing an increase of $2 million, which is mainly due to the increase in GILTI tax expenses. Net income attributable to parent company's common shareholders was $37.7 million in 2023 compared to net income attributable to parent companies shareholders of $21.2 million in 2022. Diluted net income per share increased by 81.2% to $1.25 in 2023 compared to $0.69 in 2022. The weighted average number of diluted common shares outstanding was 30,189,421 in 2023 compared to 30,641,274 in 2022. Balance sheet items, as of December 31, 2023, total cash, cash equivalents, pledged cash and short-term investments were $166.3 million or approximately $5.50 per share. Our current ratio is almost 1.5 and long-term loans were $1.2 million. Total accounts receivable including notes receivable were $269.4 million. Accounts payable, including notes payable $253.6 million. Total parent company stockholders' equity was $344.5 million, as of December 31, 2023 compared to $311.7 million as of December 31, 2022. Net cash provided by operating activities was $19.9 million in 2023 compared to net cash provided by operating activities of $48 million in 2022. Payments to acquire property, plant and equipment were $18.2 million compared to $20.3 million in 2022. The business outlook. Management rides revenue guidance for the full year 2024 to $605 million. This target is based on the company's current view on operating and market conditions, which are subject to change. With that, operator, we are ready to begin the Q&A.
Operator: Certainly, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Your first question for today is from Margaret Wilson (ph), a Private Investor.
Unidentified Participant: What products are you selling to BYD, please?
Unidentified Company Representative: [Foreign Language]
Jie Li: [Interpreted] So BYD is our strategic partner. The relationship goes a long way from the very early days when they started to enter automotive industry. And over the years, we expanded and furthered on our partnership. Now they have become the largest EV producer in China and are about to become the largest EV maker in the world. In terms of product, we supply to them the traditional hydraulic in the steering systems. We also supply them the C-EPS, R-EPS product. In terms of vehicle models, there is a wide range of models, BYD models are using our steering systems. That's including SONG, HAN and TANG (ph), those are three marquee products and also their ocean series product like SEAL (ph), you can see this products are selling very well throughout China and also expanding globally.
Unidentified Participant: Thank you.
Jie Li: Thank you.
Operator: [Operator Instructions] Your next question for today is from Gary Nash (ph), a Private Investor.
Unidentified Participant: Good day, everyone. First of all, congratulations on the performance given the challenges facing the Chinese economy. Here's my question. What is your expected capital expenditures for the 2024 year and also, what are your capital priorities in 2024?
Unidentified Company Representative: [Foreign Language]
Jie Li: [Interpreted] Okay. First, thank you for recognize what we have accomplished. Like you said, in the environment we are operating the businesses overall has been in a very challenging macro environment, as you can understand, but we're very proud of what we have done, what we accomplished in 2023. And we are very excited, extremely excited for the new year and the prospects for us in 2024. And on your question on the capital expenditure. And that's also tied to what's about to happen in the next few years. So we're extremely excited and we're also very committed to the global expansion that's about to come for the -- for our many customers. For CapEx in 2024, we're targeting about $25 million. In terms of priority, capital priority you mentioned, we are -- we will start off our $10 million CapEx in the I-RCB and ERCB product. Those products are already having orders from very large OEMs, global OEMs. So we are going to pick up more business in the international market, as well as we are supplying to the large domestic OEMs. So -- and that’s the first part. And the second part is on the R-EPS product, we’re going to invest $10 million, reason being -- and we are seeing a rapid increase of orders for this type of product and we definitely want to increase production to meet the demand. Our current -- we have already maxed out our current production capacity for this product, and we are very excited and to increase the production capacity in 2024. And lastly, is we’re going to spend $5 million on upgrading existing production line, fine-tuning some of the facilities and making sure while we’re expanding on the new frontier, new markets, we’re also taking care of our current customers. So that being said, it’s a holistic approach. We are going to continue to maintain and to upheld the customer satisfaction. And meanwhile, we’re going to expect some of the -- to meet the customers’ demand for new products.
Unidentified Participant: Thank you. That was quite helpful. Thank you.
Jie Li: Thank you.
Operator: [Operator Instructions] We have reached the end of the question-and-answer session. And I will now turn the call over to Kevin for closing remarks.
Kevin Theiss: We want to thank everyone for joining us today. We hope you have a safe and happy day, and we look forward to speaking with you in the future. Thank you.
Operator: This does concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.